Operator: Good day, and welcome to the Summit Wireless Technologies Second Quarter 2019 Update Call. Today's conference is being recorded.At this time, I would like to turn the conference over to Mary Magnani. Please go ahead.
Mary Magnani: Thank you, operator, and good morning, everyone. I'd like to welcome you to Summit Wireless Technologies second quarter update call. With us today is Brett Moyer, CEO of Summit Wireless; and Tony Ostrom, President of WiSABefore I turn the call over to Brett, I'd like to remind everyone of the Safe Harbor statement referenced in the SEC filings. The Private Securities Litigation Reform Act of 1995 provides a Safe Harbor for certain forward-looking statements, including statements made during the course of today's call. Statements contained herein that are not based upon current or historical facts are forward-looking in nature and constitute forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 and the Section 21E of the Securities Exchange Act of 1934.Such forward-looking statements reflect the company's expectations about its future operating results, performance and opportunities. These forward-looking statements are based on information currently available to the company and are subject to a number of risks, uncertainties and other factors that could cause the company's actual results, performance, prospects and opportunities to differ materially from those expressed or implied by these forward-looking statements. For a more detailed discussion of some of the ongoing risks and uncertainties of the company's business, I'll refer you to the company's various filings with the SEC.Now, it's my pleasure to turn the call over to Summit's CEO, Brett Moyer. Please go ahead, Brett.
Brett Moyer: Thank you, Mary, and good morning. I'd like to thank everybody for participating this morning on today's Summit update. This is a special update since just one year past the IPO and if you look at what's happened in that 12 months, there's been a lot of accomplishments. There's still quite a bit to do and Tony is going to talk about it, but as we think back at the IPO, we had two TV members. We're now at seven, which is a very strategic beachhead in terms of expanding the WiSA market.We were at a rough 30 plus brands as members and now we're over 60. But if you think about what those two TV guys were a year ago, we were anticipating an addressable market around them of 3 million TVs. Now we're looking at 20 million TVs.Well, where's the beef, right? There's not a lot of products out in retail. We've been saying to come in, we have gone through a number of customer-driven delays not related to our technology or our shipments, but I think by the time you hear Tony's presentation, you'll see all the marketing material, all the collateral, everything that's about to roll out over the next four to eight weeks through this holiday season.So, as a reminder, who's in the members is quite a big brand list. But there are strategic ones that I think are very important. They're the seven TV guys. There are the brands like Harman, Bang & Olufsen and SAVANT that are doing both TV and transmitters. And then we have our key partners, which is obviously a key partner as a speaker designer for the LG launch. We've had LG in tech designing dongles for the LG TVs. We've got Xbox support in Olufsen and rest of these ODMs and brands.Now product launching for the holiday season this fall is pretty extensive. We've got multiple projects from Harman, from LG, from System Audio from Enclave. All these products represent price points going from below $1,000 to $5,000 generally. Bang & Olufsen does have $80,000 speaker pairs. But the meat of it is, this is sub $1,000 products, sub $2,000 products, which is where you start hitting the volume.We have two dongles out in the market supporting the TV guys. We expect there'll be one or two more before year-end and that helps open up the market around the TVs. The two companies EC Living and GoldenEar that are highlighted, they are still scheduled to be in market from both production and design. We're not sure they make it in October, but they should stack-up in October November or maybe December.So, as you can see it's an extensive list. We have a goal at the beginning of the year to be in more than a thousand store fronts. We're going to well exceed that. You'll hear Tony talk about the close objective of having 600 store fronts just for the point of purchase display. So, they probably alone were why we'd exceed that. On clay there's in greater than 700 store fronts, so I think by time you get into the end of the year, we're well past a thousand store fronts worldwide. We're well pass a thousand store fronts in the U.S.So, that's all exciting. This sets up a stage for. Q4 and for our P&L what that means is in Q4, we're able to not only ship product for new product launches that all occur at year end or Q1 or Q2 next year, but also it means we start getting replenishment orders which should build our quarterly revenue.To-date all our orders, with the exception of Bang & Olufsen and part of Harman have been strictly initial production runs. Now, in Q4, we start getting -- initial production runs are new projects, we're not talking about yet today. And replenishment orders from these projects that are out in the field selling. So, that's our background.With this, I'm going to turn it over to Tony Ostrom who is President of WiSA. His role is to really be matchmaker and help facilitate WiSA in the retail market and cross-brands. A lot of times when I'm on the road, we have gotten quite a few questions about what's the training, what's the marketing, what's the product launch and that's what we're going to cover today with Tony who's been working for months with the speaker and TV guys to do this and he will give you a good idea of all the content out there and how we're going to market this.And with that Tony, I'd like to turn it over to you.
Tony Ostrom: Quite the introduction. Thank you, Brett. I really appreciate it. Thank you Mary and I appreciate everyone's time this morning and the ability to share some of the good news as we head into the end of this year.So, on next slide, as you know we at CES had major announcements around LG and their integration of the WiSA Ready concept. It's all of their 2019 mid and high end TVs, NanoCell TVs which we're renaming of the Super UHD and the OLEDs. Their integration of the WiSA Ready has been phenomenally received. So, WiSA Ready as you probably know is the ability of the TV to easily integrate into a WiSA system through a USB transmitter.This slide shows the application of the USB transmitter on the back of a TV, step one. Once that happens, the TV becomes the user interface for the system. So, LG has integrated the WiSA user interface into their systems, so that once you plug the transmitter in, you can use the LG remote and you see all of the speakers in the system, it takes about two to three seconds to find all the speakers that you've connected in your room and it wirelessly connects and shows you all the speakers and lets you take all the control and operations from there through the TV, which is an absolutely beautiful install for -- from their guys -- by their engineers. They've implemented into the UI flawlessly.So, this is now where we can show our TV partners that for a long time now have been wanting to know what exactly is going to transmit to us. We really don't want to build a transmitter well, the TV is now -- that transmitter for them and it's a huge step forward.LG has also implemented the WiSA logo. As you can see on the far right, so it's kind of a constant reminder that you're in a wireless WiSA mode and it was really a great thing for them to implement. It constantly reminded everybody of our logo. It's great branding for us at retail, in homes. And it's kind of the calling card at your Super Bowl party or wherever every time you change the volume, you're reminded that's WiSA and that's not something that I know of any other wireless company that's been able to implement. So, it's kind of unique to us and it's really cool.So, this is just the beginning. LG kind of being the tip of the spear on the WiSA Ready program and their implementation is beautiful as it is, was just the beginning of how they're helping us and how this kind of manifests down the road.If you go to the next slide. They are really taking this internally and helping build the category, their marketing team has worked extremely closely with us as they've gone through all the different steps of bringing this product to market – and this whole program to market. WiSA is a key feature in all of their dealer sales presentations. To the point where, I get feedback from the speaker brand side that they were at a major event doing WiSA training for their new speaker system and people walking into their training already knew everything about it, because they had been to the LG training already.Little tidbits like that coming back to us realize, how much our messages really being proliferated by our brand partners and by the lead guys like I say – it's the tip of the spear like LG in my collection like add something.The WiSA ready logo shown here in these pictures to the right on the outside of the LG packaging probably displayed right next to HDMI. So we're getting notoriety there and it's easy to see what products are WiSA Ready. It's easy for other TV brands to see what they're fighting against now and what they need to play catch-up and get on board with. It's also easy for consumers to recognize the TV that will work with WiSA certified speakers, so that's a great bit of branding there also. We are key in their trade press and reviews, the ever since CES a lot of the reviews of the new LG TV have included WiSA they are really embracing it as a key differentiator for them. And we're seeing reviewers talk about it. We're seeing TV reviews that are mentioning audio because of what's WiSA Ready being implemented in those TV's.And one of the most impressive things and we'll show more on this in a second. They are developing a WiSA page on the LG website to promote this key differentiator. That is WiSA ready. The page promotes other brands. It promotes initially Klipsch and Axiim. As well as providing links to their websites so you can purchase those products to fulfil the immersive home entertainment dream system that's built around their TV, and they want to support that in a major way. They will also be providing a link to the WiSA website so that you can learn more about the technology and dig deeper. It's more than just what they will be able to provide on that page.They will furthermore be directing communication out to all of their 2019 OLED and NanoCell consumers to kind of more elaborately describe the opportunities that those people have to create an immersive audio system because the TV that they've already purchased has WiSA Ready feature. So, they'll send the communication out stating that hey with the TV you just bought spot does more than you may know. It's also WiSA Ready. Here's what that means. Here's how it works and here's how you can make that actionable and create that system.If we go to the next slide, this is a mockup of that web page. It's tweaked a little since this but it has basic information about what is benefit – how I can benefit from? Links to proper websites and it even shows the click system that is their major launch partner around an OLED in a family setting and how well it all integrates they are really doing a beautiful job of supporting the initiative. And this is just one part of it. This will be up about the same time maybe a little before the launch starts happening in this next – like Brett was saying in this next few weeks.Next slide and this is super critical. With all this knowledge and with all this training and with all this awareness we still need to facilitate a good demonstration in store. And that's something that clicks does really well and it's something that Klipsch is really well and it something that a lot of key retailers in this space understand the importance of and Klipsch developed this in-store point of purchase display that it's basically a 3.1 system. So it's a left channel, center channel, right channel and subwoofer that will be placed underneath typically very large OLED from LG in some cases up to eight inch OLED within a retailer. Which is also a great opportunity because those big TVs are kind of the Bud Light of the retailer and there were a lot of consumers will kind of gravitate towards just to see the newest biggest craziest TV and the audio system. It's kind of blowing them away as part of that experience will be powered by WiSA and will be from a WiSA member and WiSA system.So this system will be in 350 Magnolia Home Theater stores, could be more than that over time as everything grows with Best Buy in general, 250 plus additional retailers globally. It will be a multi-channel demo, so we'll be able to leverage multichannel content which is part of our entire story. There's so much multi-channel content coming into your home now, you need to leverage it with a true surround sound multi -- immersive audio system something greater than just a 42 inch sound bar.This display itself is somewhere between four and five feet wide and it facilitates the experience of a system that these are much greater than that because it gives you the ability to take those speakers and spread them out 8, 10, 12 feet to get a really true theater experience with some separation. This is a phenomenally designed system. It allows somebody to get that experience with a touch of a button. It also very obviously promotes the brands that are associated, but if looks front and center on the display stuff. And it gives us the credibility.Number one is being associated with these great brands being in these key retailers and this great experience that is so simple now to assemble in your home is because of this technology and that's all part of what this display says. This combined with the training initiatives to empower the retail, sales people that will be around this is gives them a great story to tell and a great way to demonstrate the technology. So this is huge for us and a great step forward. And again being in all those Magnolia home theaters then allows other retailers to kind of see how it's done properly in a great way.Moving on so continuing with the evangelization that's happening via LG this is a one page training document that was created by LG. We gave them some feedback on it, which is great. They were working with us to make sure that it was saying all the right things. It describes what is WiSA? How it works? The fact that it’s -- the LG is first with it, who it’s for and just a great basic overview.This one document will be distributed to the entire LG sales team all of their internal trainers, all of their third-party trainers for their massive retailer network. As well as service personnel and staff. It will also be put on the desk by training portal which is which makes it available to thousands of Best Buy employees to become knowledgeable on what -- what WiSa is? What it's doing? What its purpose is and how it's being utilized by LG and other partners.Thousands and thousands of eyes will be put on this document. Along with this there are clips training initiatives as well as WiSA training initiatives. WiSa also has a very comprehensive training that has been sent to Best Buy that will also be available through their network. So there is a large amount of information that's available for all of the sales people at these organizations to learn what we're doing understand it and of course they can always ask us for more information. But the fact that we're training and evangelizing are our members, and then that's passing down to their sales people and their trainers and then finally to the retailers makes our story very consistent very cohesive, it's a simple story to understand and the feedback so far has been very positive.Fueling. This all fuels a larger category. Rather more so than just these initial first couple of brands. These are the right brands to launch. These are the right brands and the right retailers to get the word out. And then it kind of paves the road for a great number of additional speaker partners to follow suit. The great thing about the audio industry has always been its diverse nature of products that are available.So I can kind of pick the speakers that are the form factor, the sonic signature, the size, the cosmetics, the price point that I want and this initiative now paves the road for harmonize the system audios, the plan, the actions, all these guys, along with a few that don't necessarily want to be mentioned yet that are developing products to kind of fill up that pricing ladder, fill up that competitive landscape so that there are a lot of options for the consumer depending on price point use case size cost, all these things.So this really does do a good job of kind of paving that road for these other speaker brands and they're very excited about it. Again, they don't have to make the transmitter now because of the WiSA Ready initiative. They just get to do what they love to do and make great speakers. So this really does a good job of opening up the doors for a lot of a lot of other brands.The next step for us beyond North America is this obviously wrapped around Best Buy and Magnolia Home Theater primarily in North America launched and focused right now, but quickly becoming a global focus because of some EU initiatives that are taking place. So building off of the U.S. initiatives and a very successful high end show in Munich where we were in two different booths and got a lot of good press and a lot of good exposure, and equally importantly a lot of good interaction with the LG European team both before and during the show. We now are seeing a lot of momentum with respect to the interest in Europe.And so these speaker brands are either already in the channel or soon will be in the channel and we've been interfacing with LG’s marketing and sales team for a while now and over the last probably month, they have become very interested in what's going on very active, very responsive to the point of wanting discreet contacts at Speaker manufacturers so that they can establish communication and start planning out what they can do in Europe potentially very similar to what we've seen happen with the alliance clips. So a very, very high level potential fairly quickly in Europe and again leveraging a lot of the good work and launch process and activities that have gone on domestically.And then finally one of the ways that our organization really gets to see the interaction firsthand with retailers and buying groups of distributors and even consumers is that trade shows and our next trade shows I want to kind of give you a little insight into our next trade show, which is happening this coming weekend the actual show dates from Monday and Tuesday of next week is the nationwide primetime show. Nationwide is one of the largest CE buying groups, largest buying groups in North America. You can see the numbers 15 billion, three 500 members 11,000 storefronts they’re massive.And they have been super partners of WiSA. And what we're trying to do for a number of years now, our first exposure at their show we had a WiSA booth and we were trying to still get the word out and sell what we do and everything like that we've expanded to this year where we actually in four different booths that at their show, a TV manufacturer, two speaker manufacturers and our booth. We've had great communication and moved the rock a lot of these shows. We actually had some key discussions with LG at a nationwide show that really helps get the current initiative up and running.So a lot of opportunity to communicate with other brands as well as the other entities I outlined earlier. This show we're going to have like I said four different booths, clips will have a WiSA system in their booth, Enclave will have two WiSA systems in their booth. There'll be a WiSA system in the LG booth itself. And we will have our own booth with three systems from three different speaker brands in it.Each one of those systems will be wrapped around a 65-inch LG OLED TV, which is facilitated by LG and their marketing department, who came to us basically during a conversation and said, when you are at shows and you need gear let us know. We want to facilitate it in every way we can. We want this to be successful and help you. So we said, great, we need three TV. They said, here three 65-inch OLEDs.So lot of participation across the board from all of our members to make these shows happen. And it's a huge opportunity to get the word out. In the fact that we moved from one booth that was our own to now for booths. One of them being LG in just a few years, it’s pretty phenomenal and we are heavily supported by the spying group, and several other entities like them. So we're very excited about this show, and we think that it will just lead to a great rest of the fall and then a great CES.
Brett Moyer: All right. So Tony is going to stay on the line. There's a lot of interesting content that he's just gone through. So for those that want to ask questions, I got a couple more slides we're going to run through quickly and then we'll open it up for questions, which will include any things that you have for Tony as he is the figurehead -- the leader of the WiSA organization.Last week, maybe 10 days ago, we did announce that we were upping, our market opportunity and the expectations of WiSA Ready TV going into 2020. As I mentioned a year ago, we thought we'd have about 3 million in 2019. That is substantially higher. That'll be somewhere between seven and 10 million this year, but next year we expect to be over 30 million. So what does that do for us, right?So -- I'm sorry I said 30 million, 20 million. Right? So, 20 million TV takes everything that Tony just talked about around LG. And then expands it to multiple brands, expands it worldwide. Expands us to speaker -- speaker-less TVs, right, and clearly speechless TVs helps expands the wireless market around those TVs.We have seven brands. I can tell you, there's a lot of design work going on. We will not have a definitive answer of who is going to launch versus in 2020 versus 2021, but we are on track and expect to get four to five TV guys that CES supporting WiSa. And that will exceed more than 20 million units. And I want 20 million units mean for us.Generally, we look at TV providing a 25% attach rates external audio. Which means, if there's 20 million TVs out there, 5 million TVs are going to get. 5 million audio systems are going to be sold, if WiSa, whether it's a $799 or $20,000 or some system in between gets one fifth of those 5 million audio systems, then we think that adds up to about a $45 million market opportunity, just off of those 20 million, not counting future products.So, on this model, different from what other people look that we've scaled it from a 5.1 system down to a 3.1 system, we showed our average ASP going from 10 bucks to 9 bucks. As we start talking about 2020, we have cost reductions around our module that will track. Those price changes. And that's why we think this is springing off of what LG has done. This is really launching us into some very dominant brands, launching us in the Europe, U.S. and China very strongly.Finally, we have -- for quite a while had a set of milestones out there for what we wanted to achieve in 2019. I think after today's presentation, you'll see we're on track for all of this with the final two around CES would be proven out. But the IT version of our technology is progressing very nicely. We have a team in Asia right now working with potential clients. And as I mentioned earlier with 20 million TVs we're going to get those five TV brands we think.So with that, operator, we're going to open it up for questions.
Operator: Thank you. [Operator Instructions] And our first question today will come from Daniel Carlson with Tailwinds Research.
Daniel Carlson: Hey Brett, couple of questions. The first off, you didn't talk much about revenue in the press release or anything. So, just wondering if you can talk about what revenues you're comfortable. We'll look like in the second half of this year and sort of what goes into those revenues?
Brett Moyer: So we have been calling these calls updates since we're not pre-revenue, but until we start getting replenishment orders that's when we expect revenue to jump. So we would -- our revenue this quarter we’ll report out today as in the 350,000 range. Maybe 20,000 lower than last year, which is insignificant in terms of what we're doing.But as I mentioned earlier in the call, Q4 is when we will not only have new products launching. All these products that Tony went through today should start issuing replenishment orders and building our revenue curve in Q4 forward.So Q3, Q2, Q1 all single product shipments to new production starts. With the exception of Bang & Olufsen and the first Harman project, which our replenishment orders, everything else has been one time shipments until stocks hit the field.Second question?
Daniel Carlson: Yes. I think this maybe more a question for Tony, but just with regards to Best Buy and if you can quantify, what the opportunity is there in a sense of -- I have no idea how many how many high-end TV they sell? What internal attach rates they get when they sell these TVs. And just how many surround sound systems they sell a year. Can you speak about a little more detail would be great?
Tony Ostrom: Yeah. The exact numbers on surround sound systems, it's something I don't have. As, you know, they’re one of the key retailers in the United States for that type of equipment and Magnolia Home Theatre. The stores that have the Magnolia Home Theatres really focus on the mid to high end products and that's where our initial launch will be. That's where you will typically see the more of the OLED TVs, the higher end products things like that and that's where the product reference wireless system will be. Brett, I think we have some attach rate numbers on the systems, although I don't have them in front of me.
Brett Moyer: Yeah. So as I mentioned earlier Dan, right. Our attach rate is set. So we've gotten feedback on attach rates from Samsung, Vizio, Xbox. And those numbers consistently run between 25% and 35%. So we use 25% for modelling.To Tony's point, my high five really is the leader in the premium audio market and the premium video market of the industry. So, if there's any one place you want to launch and set the tone for the industry is there. And so we're quite pleased with that because that does send the message to everybody else.
Tony Ostrom: One thing, I'll add to that is two of the drivers for the attachment of external audio is are content availability and the desire for a better sound quality. And so, I guess it's third on simplicity. So what we really do is take those three things and roll them up and answer all the questions because something like a sound bar and you see the growth of that category because it's very simple, not necessarily because it sounds great on TV, but it's a very simple application which is what we bring to the table. We eliminate all the complexities of the traditional system bring the simplicity of the sound bar, but it's a much better audio experience.And then on the content side, we're really working to tell the story of there's so much streaming over-the-top content now that's in a multichannel format, you really serve yourself well by exploring an opportunity to have an immersive experience which is what we make so simple and guys like Best Buy and assisted Salesforce like a lot of people like Klipsch and LG are reaching out to initially get that story and want to tell it.
Brett Moyer: I think I got to say my personal experience I bought with the unclaimed systems and the simplicity is just amazing. And I think that's going to be the big driving point. That's why I'm so excited here.
Daniel Carlson: But last question for you, Brett, you've talked in the past a little bit about potential strategic investors and I was just wondering if you can talk more about that and also would it makes sense for one of these OEMs to maybe just look at acquiring this technology, just sort of have a lock in the market place on it. It seems like that would be a great differentiator for an LG versus a Samsung or something like that.
Brett Moyer: So let me take the last part of that first. It might make sense for them to acquire us, but it doesn't make sense for us because that would sub-optimize the value off of our technology to a broad industry and optimize and via acquisition to optimize and say that particular brands TV or speakers right. We think there's better targets that are in the audio and Wi-Fi and IP licensing space. Should that -- should we -- should those conversations come up. But we're not pursuing those at current time.We're focused on establishing the WiSA brand as the dominant logo for consumers on wireless multi-channel, so that people understand why so like to do HDMI and Bluetooth for its role. We're focused on getting the IP out which extends us from the mid and premium audio video space to the whole broad market. So, yeah it could make sense for somebody like them to acquire us, but that's not our pursuit, number one. What was the other question?
Daniel Carlson: Just if you've had any conversations with strategic investor?
Brett Moyer: Strategic, we are active in those conversations, but that's all I can say.
Daniel Carlson: Okay. Well thanks guys. It's been a long road to here, but it looks like it's exciting times, so I'm looking forward to seeing the roll out and how you guys do?
Tony Ostrom: Thanks.
Brett Moyer: Thank you.
Operator: [Operator Instructions] Our next question will come from Ted Feldman, Private Investor.
Unidentified Analyst: Yes. I have a quick question about multi room audio. Recently, Sonos won their lawsuit against D&M Holdings and now they're going after Lenbrook, who is the maker of the Bluesound product. Your website used to mention multi-room audio is one of the capabilities of your technology, but now your website doesn't mention it at all. It only mentioned single room, nine meters by nine meters.So that's my first question, which is why aren't you mentioning multi-room anymore. Is it some type of possible limitation of your technology? Or is it related to all the lawsuits that Sonos has been filing against other companies? Why is there no mention of that now and is that something you plan to scale into.
Brett Moyer: Okay. So I'll take that. And just for the general people on the call. Tony was VP of Product Planning, so he knows this well, but we took that off the website, but it should have been a while ago, primarily because that was not ever our focus. It was a market that we were testing as an extension, because when we say a 10 by 10 meter room, I mean, the technology actually does substantially better.But to us, we did not see that market as appropriate for, A, our technology and, B, we don't see any reason to compete against what Google or Amazon or Apple can do in terms of using Wi-Fi to stream audio around the house. Our technology is optimized for low latency and tight speaker synchronization of lots of speakers, whether it's two speakers or eight speakers. So when that was on our website, we were experimenting with do we want to push it into that space. Well, we've moved away from that probably two years ago, maybe three years ago.
Tony Ostrom: So, I can just elaborate real quickly. Brett, you did mention my history in product development. We look at it as kind of a three-part category with respect to wireless audio. One is, very near-field stereo only personal audio experiences.One is a whole house, there's still two channel stereo audio experience and one is a home theater experience, which is very different with multiple channels, tight synchronization, low latency around a video screen which changes the entire paradigm of what you're trying to do. And that's where we excel and that's where we really don't have competition. So it's really difficult to do this. The other thing is, not that they're not difficult; they're just a very different beast.
Operator: Our next question will come from Ted Ketterer with T.K. Associates.
Ted Ketterer: Hi, guys. Thanks for taking my call. In a different segment you had mentioned Xbox a lot in the gaming. Can you give us any idea where you are on that? Will Xbox do any marketing and promotion?
Brett Moyer: Yeah. So I'll answer that. So the Xbox was modified with the WiSA Ready. It needs the AXIOM dongle to de-encrypt the output that comes through the USB port. The AXIOM dongle went to production. This month and starts and it gets shipped out of Asia on August 24th. So now, there will be dongles to -- available to plug in the Xbox and to buy. So I think this is -- has not been from a lack of support from Xbox. It's been a action decision on when they launch that dongle, when they felt they had enough market to bring it to market, which with the LG release of their firmware in June and going to this launch and we just spent quite a bit of time talking to enable them to go to production. So we would anticipate that action starts talking about that and products like that this fall.
Ted Ketterer: How would that market opportunity compared to the opportunity that you presented on -- with the TVs?
Brett Moyer: So to some extent, they overlap, right. So every Xbox is attached to a TV somewhere. So when we talk about addressable market around TVs, we don't add in set-top boxes, game consoles etc because a set-top box is going to go into a TV, a game console is going to go into a TV.Now there are different buyers of the audio to go onto that TV. So probably expand -- it would expand, whether we get a fifth of the audio systems around those TVs or half those audio systems. There's a lot of things that change that. And the more solutions that plug into it whether it comes from a set-top box and over the top gaming box or something that plugs into an Xbox or a PS4 those would increase our share of the external audio around the TV.
Ted Ketterer: So you don't think that's a standalone market because one of the things that amazed me was a number of people reported watching whatever the gaming finals versus the Super Bowl?
Brett Moyer: Oh, it's huge.
Ted Ketterer: Normal?
Brett Moyer: You asked me about X – yeah, but you asked me about Xbox, right. So, Xbox…
Ted Ketterer: No, I'm just talking about gaming. Okay.
Brett Moyer: Yes. So now gaming, if you're talking about gaming that's -- that is a standalone market. And we announced earlier this year around THX which is owned by Razer, as that's part of our initiative. So beyond the Xbox, absolutely, we think the Esports market, the gaming, the fact that Super Bowl attracts 98 million people, but League of Legends tournament attracted 198 million viewers is phenomenal. In fact, that there's a lot of video action with audio tied to it with big opportunity. Yeah, we're very focused on it and that is beyond the TV market 100%.
Ted Ketterer: Will there be any rollouts for this year?
Brett Moyer: Yes.
Ted Ketterer: When?
Brett Moyer: This year.
Ted Ketterer: Guys, come on. You are a dollar -- you are not like this
Brett Moyer: No. Look this year there will be -- we would anticipate it to be launched in November.
Ted Ketterer: Okay.
Brett Moyer: Okay.
Ted Ketterer: Now that I have you, do you have any idea how much marketing dollars LG is going to put into risk rollout?
Brett Moyer: Or already have. I think it's. It's enormous in terms of -- if you went to CES, we were top five features, right. So they have marketing dollars to promote their TVs and we're one of those key features. So I don't know how you slice out just what they're doing for us, but their entire marketing budget is gone for those TV is it going to talk about their key features. I think it's pretty clear from the reviews. And the press they've done that. We're one of those.
Ted Ketterer: Another question, would it be reasonable to expect that Sony is looking at this or are they taking a different there?
Brett Moyer: It's reasonable to expect that, there is, a lot of people looking at it and a lot of ways. So, the answer would be. Yes, to any number of brands that we haven't announced, but could be either designing, or prototyping, or reviewing.
Ted Ketterer: Is there any alternative technology?
Brett Moyer: Well that's what I'm just going to say, I mean the core technology is dominant, right but from a performance perspective and a market position. So, we have lots of conversations with people who are not on that brand sheet.Lots of prototyping support, people that's not on the brand sheet. And people are clearly we think one of the biggest impacts of LG launch and as you saw with the TV members, is it will push, other people to reassess, or increase the value of the WiSA logo versus just a technology solution.
Ted Ketterer: Okay. And then last, when do you expect the IP to be in the market?
Brett Moyer: Next year.
Ted Ketterer: Okay.
Brett Moyer: We've said that, we expect to get our alpha customer this year.
Ted Ketterer: Okay.
Brett Moyer: …Which would, lead to product, next year.
Ted Ketterer: And all of these are royalty income?
Brett Moyer: So, on the host device, it would be a royalty income. On the smart speaker, so if you added the IP to say Google pass or Alexa type smart speaker, it would be royalty or a sound bar, right.
Ted Ketterer: Okay.
Brett Moyer: On a standalone discrete speakers that would be module revenue, but at a lower ASPs than where we're at today because we're using custom Wi-Fi chip, right.
Ted Ketterer: Okay.
Brett Moyer: A standard Wi-Fi Chips versus the custom Wi-Fi chip.
Ted Ketterer: Okay. So the margins would be quite attractive.
Brett Moyer: Yeah. I mean, margins on IP licensing, I don't know the account still find 5% or 10% of cogs on somehow. But yeah, I mean, they're not building and shipping it. You've got engineering and engineering around it.
Ted Ketterer: Okay. That's it. That would be an interesting six months.
Brett Moyer: It is. Next question?
Operator: That does conclude our question and answer session today. And at this time, I'd like to turn it back over to Brett Moyer for any closing remarks.
Brett Moyer: Well. I'd like to paraphrase the last comment from the last questioner. It is going to be an interesting. I think it's actually exciting next six months. So there's a lot of product. There's a lot of promotion.There's a lot of industry support, around WiSA. And as from here to January is, going to be just an exciting time for the team and the company. And team covers the employees, the customers, the investors, everybody.So, with that, like to conclude the call. Thank you for joining us this morning.
Operator: Once again, this does conclude our conference for today. Thank you for your participation.